Operator: Hello, and welcome to the Accor Full Year 2020 Analyst Call. My name is Mollie, and I'll be your coordinator for today's event. Please note that this call is being recorded. [Operator Instructions]  I would now like to hand the call over to your host, Sébastien Bazin, Chairman and CEO, to begin today's conference. Thank you.
Sébastien Bazin: Good morning, everyone. Thank you so much for connecting early in the day here in Paris. I've been saying to many of you for a number of years that the hospitality industry is all about human capital. So before we start, I just want to share with you how sad, and it's probably not strong enough, how sad I am of Arnie's passing earlier this month, I -- he was a very rare individual who really put his heart and soul into achieving his vision. He was a fierce competitor of Accor, but the one thing I remember of him for sure is the kindness of his heart. I had some privileged moment with Arnie which I never shared with anyone. When I started at Accor 7 years ago, I reached out to him. I did not know of them at all, and had asked whether we can meet. So we did a month after I jumped into the job in early September in Central Park for a couple of hours, working alone in the park where he was teaching me everything about the industry. And the only thing I can say today to all of you and the colleagues of Marriott and the 1 of Accor's is there is a profound sense of loss for me and for the industry. Now when we turn to the 2020 year, it's probably the worst that we've been navigating through since hospitality has been created in the 1960s. But I have to say, I am extremely proud of Accor demonstrating resilience and adaptability. If you look at the first page in front of you, I think we've never seen, only 2% of the countries with no restriction, whether it is confinement or curfew. That being said, I am amazed and thankful of all the owners of Accor and all the 40 brands of ours that we do have in today's circumstances with frontiers being closed, with leisure market, non-existing, we, however, have 85% of our hotels today being open, ready for business, and some of them fetching a 5% or 10% occupancy, but yes, the light is on, and we are open. When you look at the 2020 GDP, it is, of course, very much correlated to our industry. And it is of no surprise but remarkable that the only country who has been fetching a positive GDP happened to be China. But what's so noticeable on this page is a likely rebound of the economies of France with a plus 6% expected of the U.K. with plus 4.2%. We have some bright days ahead of us when it comes to economy we've won and we surely will benefit from it in a deep way. If you go to the page after, I was doing the exercise, what you have on the left side here, you know the 1,459 billion travelers in 2019. We, of course, know it dropped to end up the year with 379. But I was doing the math. If your account for January and February months where most of the activity was still intact with the provider of China, there probably is a couple of hundred million of travelers for the first 2 years, not impacted of last year. So the drop is likely not 74%. The drop is likely to be close to 90% in international travel through the pandemic. But what you have on the right side is a word of caution. You see China, and we were so pleased all of us being so strong in Chinese hospitality to see that very early end of October of last year, China was mostly back to RevPAR numbers pre-pandemic. So we also saw that in only a matter of 40 days with the province outside of Beijing, Hubei, that it dropped again with very few cases of COVID, and they shut down, a lot of actually 10 or 20 million people outside of Beijing and the RevPAR dropped immediately back to minus 40% level. However, I'm very impressed with the resilience of the U.S. hospitality industry. Of course, impacted like all of us, but less so than Europe, fetching minus 50% RevPAR. And you see the blue line, which is 45% of our core happens to be in Europe. And it's tough, it's tough, and it's still in a minus 80% range because of all the things you guys know what's happening, whether it is in U.K., in Central Europe and in Southern Europe. So it's going to get better, but you see the vast differences depending on where you sit in terms of geography exposure. The slide after, we said it, we repealed it over the last 9 months that Accor will weather the storm, so we did. And we've been able to do it because of the 3 pillars. The first, which is the most extraordinary one because it is nonquantifiable, has to do with the people of Accor. You know we have over 300,000 colleagues working on the Accor brand in 110 countries. You know that we've been furloughing 280,000 of them in the end of March. And we've put, therefore the whole Heartist Fund together on making sure those being furloughed, those not having any subsidies, not having any paycheck will be offered availability to hospital, to care and nutrition. And we did spend $21 million with a benefit of 62,000 people, Accor colleagues, to make sure that, I guess, the need they had will be fulfilled. But we did so as well for the owners. Many of our owners were looking for some help in many different categories from Accor, and [indiscernible] will talk to you a bit on working capital issues. The guests of Accor, we have also to respond to them. We have to make sure that they are encouraged to book again. And so I guess we're going on full flexibility when it comes to cancellation policy. We, of course, looked at any sanitary protocol measures to make sure that guests, whatever -- all hotels open of Accor will have the most impeccable sanitary protocol and health safety measures to welcome every individual on this planet. So 92% of the hotels of Accor today have the protocol being implemented and verified by third parties. And for our shareholders, many of you listening to me on the phone, of course, we haven't forgotten about you. It was all the questions of preserving longevity for this company and actually making sure that whatever cash we have could be safeguarded, probably more cash, if we could, to be preserved and to be increased. Cost savings measures have been put together, and Jean-Jacques will talk to you about it, simplifying the organization to make sure we have a greater flexibility, a greater agility within the body of this company. And which is probably the most important, that making sure that you are prepared for the rebound. And so are we, as of this very minute. If a rebound are to happen tomorrow morning, we are set to go, which is why 85% of the hotels are today open. And the team is eager and ready to welcome back 1.5 billion international travelers and all the billions of domestic travelers. The -- on the page after, when it comes to accelerating the plan, we didn't sleep for the last 10 months. We did not only do things when it comes to agility, flexibility, cost savings, sanitary protocol. We've done so much more. We've been lucky and all-smart, you know the expression, by closing on 1 billion-plus of Orbis, which is Eastern Europe real estate portfolio being sold and cashed in by our core in early March of 2020. We've been getting the asset heaviness, start of Movenpick, 400 million plus or minus away from our balance sheet, again, end of February 2020. We've been readapting the organization with 3 very key words: focus, simplify and expand. And we've been -- as we have been for the last 50 years. [indiscernible] is one of the biggest value this company. You just cannot stay mobile even through a crisis. So that was the time. To really put together alliances, partnership, going all the way to 100% ownership in the minority interest we had when it comes to the lifestyle segment, which you know well. I am a big, big believer that the lifestyle segment will account for probably more than 20% of all the offerings of hotels in this planet over the next 20 years. It is a big segment. It is what individual wants. They want something more unique and with more fully local content. And so we made a long bet and a big bet in creating Ennismore and putting within the Ennismore platforms, the brands we've been acquiring, securing over the few years, and we'll talk about it in a minute. But it's a major acceleration and a statement of where Accor should be positioning ourselves without forgetting, of course, on the legacy brand. And again, we touched upon it in a minute. Jean-Jacques, it's to you.
Jean-Jacques Morin: Thank you, Sebastien. Good morning, everybody. Thanks for being with us today for this result presentation. Let's move to Page 9, which is the overview of the financial year highlights. Starting, in fact, with the business highlight, the figures. The figures reflect the magnitude of the COVID crisis we all faced. The RevPAR was down 62% over the year. The net organic growth slowed down to 1.9%. And all of that translated into revenue for the group decrease of 55% on a like-for-like basis to €1,621 million revenue level. To cope with the situation, as mentioned by Sebastien, we obviously implemented swiftly drastic actions, and we saw a ramp-up of the benefit of those actions over the year. The EBITDA ended up being a minus €391 million. And despite a tough Q4 and notably a tough Q4 because of Europe, we were able to decrease the sensitivity to RevPAR to less than €19 million. I'll detail that in the next slide. As for cash, the recurring free cash flow was minus €727 million. And here again, we significantly reduced our monthly cash burn to €61 million per month. The last but not least, our key priority was to preserve a strong balance sheet well of this crisis. So several actions were put in place that you can see on the table. I mean, the successful issuance of €500 million convertible bond back end of last year. It was 6.5x oversubscribed, which, again, translates here the investor sentiment towards Accor. And the renegotiation of the revolving credit facility, which, in fact, was negotiated in March 2020 but was renegotiated in February 2021, and I am happy to report that we have no more testing before June 2022. But more importantly, that this was done with an [indiscernible] backup from the bank, [indiscernible] approval from the bank. And no additional strings and additional covenants, so which translate again the confidence. And the last point is something that you probably saw in the press last week, which we disposed of 1.5% of stake in Huazhu for €239 million. Again, this is -- this was part of the asset-light roadmap that we had presented to you at the end of 2019, further simplify the balance sheet, crystalize value creation. And just to give a number on that given transaction, it means that we made 9x, 9x of initial investments. All of this translate into a strong liquidity position, including the undrawn revolving credit facility which is to the tune of €4 billion. So I move to giving you more detail on what we've been calling controlling the controllable and this operating leverage. The EBITDA sensitivity, which is the left part of the table, you see improving from a point that we had discussed back in March of €28 million to €18 million in H2. And we talk of hundreds of millions, obviously, when you do the computation. If you move to the translation in cash, the cash burn was in March minus €150 million was reduced, in fact, to €42 million in H2 with an H1 at €79 million. So quarter-after-quarter, month after month, the actions are paying off, and we have a reduction of the cash burn. It stems from being better at the EBITDA level, that's the EBITDA sensitivity we just commented, but it's also the control that we said we would put on recurring investment. We said we would reduce them by €60 million in April. We ended up the year reducing them by €100 million. So we put very stringent control in place. And then last but not least, there was also a focus over the year on working capital and making sure that we collect as well as we can in the tough environment. So that's on controlling the controllable and this operating -- operating gearing. If you move to the classical chart and now the RevPAR has been fairing in the various geography, which is the Page 11. After an encouraging rebound in Q3, Q4 was very much affected by the restriction in Europe and not able to cope with all the COVID variants. Overall, Q4 RevPAR decreased by 66%, and the financial year end up at minus 62%. Now if you exclude Europe, the positive way of looking at it is that RevPAR is sequentially improving quarter after quarter since the Q2 trough in each of the other geographies. Moving to Asia Pacific. In Asia Pacific, the RevPAR ended up at minus 55%. Greater China, the pandemic epicenter, recovered swiftly, and we even had a point in December at minus 12% RevPAR. So it demonstrate once more if needed to be that when things come back, they come back fast and strong. But the containment is fragile, and Sebastien covered that in his speech. In Asia Pacific, work is also quoting Australia, where the summer recovery followed the same pattern as the one we experienced in Q3 in Europe. The RevPAR was a negative minus 53%, and leisure travel notably benefited to the Mantra summer destination on the Gold Coast. So we had a good season here in Australia. If you move to Australia -- to Europe, sorry, RevPAR was down 63% in financial of '20. That's a 16% point degradation in Q4 versus Q3 and the translation of the very strict lockdown that were put in place, both in Germany and the U.K. early November and are, in fact, still in place as of today. In Germany, the RevPAR dropped by 65% and in the U.K., it dropped by 73%. As for France, we end up with a slightly better number at minus 58%. We had a very strong rebound in Q3 following the lockdown release in June. And we find, in fact, over Q4, the same pattern as the one that we had experienced before, i.e., Paris is suffering more than the Provence, as Paris is impacted by the lack of foreign tourism, but also a more limited domestic demand towards Paris. As for the rest of the world, North America report RevPAR, which is falling by 74%. Here, it's -- it translates the fact that we have a portfolio which is very much exposed to [indiscernible] to exhibition, to incentive kind of fairs. And in South America and Middle East, the RevPAR was down about 60% and again, some progression month after month. I think the one point I'd like to quote, which is, to some extent, a detail, but explains how people think about traveling and our industry is that in UAE, so in Dubai, there was a border reopening, and then the month of December was extraordinary. So when things can reopen, people go swiftly into the business opportunity -- sorry, into traveling and is clear for us, it's a nice business opportunity. Just have to be firm that. So that's for RevPAR. I'm moving now to the other key drivers in our business, which is the network and the system growth. So -- and I'm on Slide 12. Our net system growth was 1.9% over the last 12 months. It is a little bit below what we had expected which was between 2% to 3%, but still not a bad number. We opened 29,000 rooms over the year. We have a strong Q4 at 10,000 homes. The openings were mainly impacted by postponement, sorry, whereas project cancellation that we monitor very closely were really marginal. In fact, 40% of the project got postponed to further periods. Over the last years, you may recall that Asia Pacific has been the locomotive driving our system growth. With what happened this year, this is even more true as China rebounded more vigorously than any other geography in the world. Asia Pacific constitutes 60% of the opening of 2020 and was to itself delivered 10,000 rooms in financial year '20, i.e. the same amount as last year, and that's about 35% of the total of the opening for the group. Pipeline, good flow of signings. And in fact, we end up with a pipeline of 212,000 rooms which is above the number of last year at 208 room. So that's also good. One KPI that we've been monitoring very closely is churn, and I am happy to report that we are very much in line with historical trend at above 2%. So 2% is about the number that we've been seeing over the last 3 years. It's a point that we monitor very closely because the market has a sense that bankruptcy could increase with the lowering of the subsidies coming from government. But today, the reality is we don't see that at all happening. So a very important point for development going forward. Last but not least, conversion. So they accounted for about 40% of the opening in financial year '20. This is a number which is very much consistent with our historical level. And we think that those conversions will remain a growth driver in financial year '21. It can be a little bit lumpy, but it will be a growth driver. If you move to the next slide, which described the revenue has been by segments, hotel service, hotel asset, new businesses. So overall, Accor revenue is €1.6 billion, minus 55%. The reported variance is 60%, which is essentially explained by the Movenpick portfolio sale at the beginning of 2020. If you look at hotel services, the revenue is down 60%. The RevPAR is minus 62%, so not much of a delta here. Looking at the subsegment, M&F drops by 71%, and we detail to you why in the next page. And the services to honor is down 53%, and it is a smaller decrease as the reimbursed part of the costs which are incurred on behalf of the owner, the salary of the people in the hotels do not decrease like RevPAR. As for hotel assets, revenue was down 46%. This was on the back of a 61% RevPAR decline. And we see here, one point I mentioned before, which is the resilience of the Mantra activity, which really benefited from a good Q4 in the Gold and the Sunshine Coasts. As for new businesses, revenue is down 43%. And logically, the travel-related activities that are part of the businesses, such as private rental are more affected than the one which are less travel-related like the digital services like DH. I'm moving now to focus on the M&F revenue portion of our hotel service business.  And I am on Slide 14. Overall, so this M&F revenue is down 71% on the back of a RevPAR of minus 62%. This action here is no surprise. It comes from the impact of the incentives that we've got in management contract. So it used to be to the tune of 35% of our M&F fees. And if we end up at the end of 2020 being 15% of the M&F revenue. On a positive note, by the way, the improvement of the activity and notably the quarantine business that we've got in Asia Pacific in places like Singapore, notably, allowed us to recognize more incentives in H1 -- in H2 than in H1. So the 15% that I told you is much more in H2 than in H1, which is positive. Then that distinction that you've got between RevPAR and revenue coming from the incentive, you will find across all regions, which is what this table tells you. So if we move now to the EBITDA, the profit of the group, you see here the overall €391 million being split by segment. As for hotel services, the EBITDA is a minus €257 million, and it's driven essentially by sales, marketing, distribution and loyalty. I once gave an explanation around that in the H1 call, but essentially, the SMBL costs, which are typically aligned with the SMBL fees touch with the hotel owner. With the COVID crisis don't align, and you don't have the same flexibility, the same flexing of those costs with the fees. And that's why you've got that loss. The reimbursed cost i.e. the staff costs incurred on behalf of the owner remained 2% as they should be. Regarding new businesses, EBITDA loss at minus €25 million. Essentially the business-related activities, no surprise here. And as far as hotel asset, a good result with an EBITDA, which is a positive €3 million that I'll detail on the next slide. So moving to that slide, which is Slide 16. You have here a kind of focus on the hotel asset and other activity. So the asset-led transformation of our business changed the geographical exposure and nature of that segment. It's essentially today driven by Australia for 2/3 of the revenue, and it is mainly the Mantra businesses. You got some residual in Europe with some variable leases in Turkey. And also for the current year, the remainder of the Movenpick leases that we saw at the beginning of the year. So that will go away next year. And in South America, like for many years, we've got the variable leases on EBITDA. Why is the EBITDA positive €3 million? I think we had very good seasons in Australia, both at the beginning of the year and at the end of the year, so essentially benefiting of good times at the time where the COVID was not hurting the worst. Then there were very strong support put in place in Australia for the employers, and there is a program called Job Keeper, and they've got a great job, in fact, that's basically covering for the cost of the employees, and we benefited from that full blast. And last but not least, we also want for significant headcount reduction, and this is extremely true in Brazil. And so that's why, in fact, the EBITDA ends up being a slightly positive number. I'm moving now to below the EBITDA line and making the bridge between the EBITDA and the net profit. So we record over the year a net loss close to €2 billion, 1 1 9 8 8 million -- €1,988 million. There are 2 main drivers. The first one is the share of net losses of associates and joint venture. And this is really the contribution of what we've got in AccorInvest, the 30% that we've got at AccorInvest, which shows up in that line. On AccorInvest, I'm very happy to report that an agreement was formed between the banks, the shareholder and the French government. All of that should become public in the next days. We said we would act as a rational equity investor. In line with this principle, we will participate to a capital increase for an amount in line with our 30% stake and subject, obviously, to the extraordinary general assembly of early March, our participation will end up being €154 million. So there is a good deal that has been found between all parties to move ahead. On the nonrecurring item, here again, no big surprise. I mean, you recall, we booked €1 billion at the end of H1 '20 for impairment of assets. So that's what makes up most of that line. On top of that, in H2, we booked 2 other entries, 1 on a restructuring charge for €168 million. And that's for the reset project that I'll detail later on. It's a restructuring charge for the cost of the severance. And then on the positive side, you may recall, we had received a one-off tax cash refund in July that we had mentioned. And so recognize the P&L effect of that cash received in July in our account at year-end, and that's to the tune of €200 million. As for financial expenses, the cost of debt is unchanged. The increase is related to noncash item, as you will see on the next slide. Just to close that presentation on the net profit, you see the discontinued operation significant gain of €257 million, and this gain is coming from the Orbis sale that we completed at the beginning of 2020. So we're done now with net income. So moving to the cash part of the presentation. So making the bridge between the EBITDA, the recurring free cash flow and the net debt. So the recurring free cash flow is minus €727 million. That equates to a cash burn of €61 million per month. So 727 divided by 12 is 61 million. Two main driver here that you can see on the table, first off, a large working capital deterioration of €260 million. You may recall, we already had it at the end of H1 to the tune of €180 million. And this is explained by fee collection deferral. The other element to understand that working capital change is that some of the savings that we put in place are in the EBITDA but will only translate into cash in 2021. And so you've got also an element here of the working capital change, and this is notably true for payroll, social charges, these kind of elements. The recurring investment is the second element to highlight. And I had mentioned that we were much better than the target that we had assigned to ourselves. So we had a €200 million normalized level. We have had a target of €60 million, i.e., our target was €140 million, and we end up at the year-end with €100 million, i.e. €100 million better than the €200 million initial amount. So for financial year 2021, we will target to be back to a level in between €150 million to €200 million, and that we will adjust depending on how the business is coming back. So that's on the recurring free cash flow. You see also on that table that the net debt is behaving well, as it is stable at €1.3 billion. And so there were significant cash inflow, the proceeds from Orbis, the tax cash one-off, and there were some outflows, notably the €700 million recurring free cash flow and also the share buyback that we had done back in Q1. And last but not least, the SB transaction for €300 million. So that's why the net debt is flat, but with big pluses and big minuses. Based on the above, the Board of Directors decided to propose not to pay a dividend at the next annual shareholder meeting which will be held at the end of April. One summary slide on the balance sheet, which is the Page 19, 2 things here. You see first on the debt profile that now that we've reimbursed beginning of the month of February the €550 million bond for which we raised the convertible in November 2020, we don't have any significant maturity before 2023. So that's a good thing. And on the liquidity, you can see that we ended the year with €4.2 billion of liquidity, and that includes the RCF, and this is, in fact, a better number than the one that we finished 2019 with as we did strengthen our balance sheet with an additional €600 million of RCF back in May. So a good, good position here. Last but not least, I'd like to spend a few -- say some words on RESET. So on RESET, the key message is we are per plan. We are exactly where we told you we wanted to be. It has been a lot of work for the organization as it is a significant rethinking of the way we do things. The -- we had identified back in H1 some levers. I'd like to try to give you some light on how we do it. I mean we talked about simplification. Essentially, to give you an explanation of what we did, we removed 2 regional headquarters. So there is no more European headquarter, there is no more an Asia Pacific headquarters with all the costs that go with it. So that was one explanation or one element of illustration for simplification. We talked about streamlining, we have reduced at the end of the plan, the headcount by 25%. We talked about automation and systems. We are right now in the process of decommissioning 20% of our IT systems. We talked about legality. We are renegotiating all our contractors, and we will reduce the contractor spanning again by 25%. So these are kind of illustration of how we go and move that program ahead. And with that, the parameters that we had provided back in August are exactly there. It's a €200 million recurring cost saving plan. It is less than 2 years of payback. And in fact, you've got an illustration of how the savings will show up in our financials. You've got 2/3 of the savings, i.e., €135 million, that will be implemented by the end of 2021. And so if you do 135 million at year-end, you started with close to 0. That means that you will have somewhere so -- sorry, €70 million of EBITDA gain in 2021 coming from that plan. And then you'll continue in 2022 to reach the €200 million. A couple of more points, which I think will be of interest for many of you on the call, 50% of the savings are staff, 50% are non-staff. And 60% of the savings are related to sales, marketing, distribution and loyalty. And last but not least, the implementation cost is €300 million, of which we booked €168 million, as I was mentioning before in the account of 2020. That's for the financial highlight and presentation. And with that, I'll leave the floor back to Sebastien.
Sébastien Bazin: Okay, thanks a lot, Jean-Jacques. Let's try to finish it up and go quickly to wake up everyone. On the priorities for 2021, it's -- you have in front of you on Page 22, it's rather simple. Number one, don't be late for the rebound. Whenever it comes, take it, grasp it. And clearly, Accor is super well-positioned to benefit from that rebound. Number two, whatever we promise, deliver on it. And Jean-Jacques touched upon it, when it comes to reset a couple of hundred million permanent recurring savings should be there and should be safeguarded and they would be improving margin substantially in the years to come. Number three, spend the maximum time on your loyalty program. Accor Live Limitless is extremely powerful. We have a very good tool machine app. Now it's only a matter of increased frequency, increased usage, have the most diversified experiences for those customers you know the best, which are the loyalty cardholders. Number four, it's all a matter of proving to the owners that you can open, you can manage, you can increase traffic, you can deliver results, and you have to increase your pipeline. It's -- we touched upon it very quickly. I have to tell you, did I -- what I assured that we could open 200 hotels last 12 months, probably not, but we did. And it's very likely that we will be opening over 300 hotels in 2021 in 2 very difficult years. Number five, it's all about human capital, as I said. Preserve, retain, seduce your talent. Even though they work for you today, just take good care of them when it comes to health, when it comes to financial, when it comes to autonomy, empowerment. They are the best asset of this company. And whatever you do, make it so that it gets true to your values when you come to social responsibility, planet friendly, get rid of plastic, food waste. There's so many things that this company has been tackling in the last 20 years. It is a moment to go even deeper in those initiatives. Our own employees want it, our customers want it, and this is our role, to basically preserve the planet we live in. When you come to the next page, which is the strongest asset of this company, those are the exact 5, the same one that we had last year and the year before, and I have no intention to change any of the five. Number one, we talked about it, the people of this company, the people in the hospitality industry at large. I am, as the British would say, flabbergasted. The leadership, tenacity, humility, generosity shown from all the talent of this company at every level for the last 12 months are being tremendous, simply incredible, probably much better than I have expected myself. 90% initiatives were done locally without any direction from any of us here at the central level. I am -- yes, I'm blessed, I am blessed, I am blessed, I am thankful. As you know, we could do so much with so little resources, and all this generosity, caretaking of all those people suffering from COVID, in need of help, Accor has responded simply beautifully to what happened. The brand powerhouse is getting stronger and stronger every year passing, and we've touched upon and it's more, we'll talk to it in a minute again. Distribution loyalty, this is the best asset of this company in terms of technology, in terms of tools, in terms of resilience and in terms of frequency. And clearly, we're going to be putting even more emphasis when it comes to branded card and different partnership attached to the loyalty systems of Accor. Network leadership, oh yes, we are close to the best. When it comes to Europe network presence, South America, Southeast Asia, Middle East, India, Accor is very, very powerful and very credible and well-liked by the different government and the different owners in those regions. Balance sheet, thanks to Jean-Jacques, to the teams of Accor on the financial side, I mean, extreme rigor, very good discipline and clearly inventing the world of tomorrow on going deeper on preserving additional resources through asset sales or refinancing of the existing debt. Accor was very comfortable last year. We are as comfortable as we were at the beginning of this year and probably more so when it comes to additional resources. On the Page 24, on the gas expectation, we've done 3 surveys, whether it's B2C or B2B in between June and October, asking the guests, what would be the 3 criteria they're looking for. And of no surprise, the safety first 77% of our guests, are looking for making sure that we can show them proofs of protocols, policies, hygiene being put in all the hotels of Accor, which is what we've been pushing for 93%. And likely 100% of all the hotels of Accor displaying those assurances. 68% of the guests want something unique, more natural, probably more on a seaside, more lifestyle, more unique, experience-driven. It's one word: fulfillment, and that is something which is key and probably expanding over the years ahead. And flexibility, of course, in a world of uncertainty, volatility, when you cannot predict the days of tomorrow, you want to make sure that you can secure hybrid meetings with numbers of people physically present in room but many others who could not basically travel, also access the same content, the same meanings and when it comes to pricing policy to make sure that you reimburse 100% of those daring making the booking today for the months ahead. On Page 25, it's just a snapshot on safety first. The -- I talked to you about the All Safe protocol. It's not only us. It's us with the third-party providers, which you guys probably know well called Bureau Veritas, and it was very critical for us to make sure it was not only our own label, but to be verified and tested by somebody else's as an expert. AXA, which is a very large giant insurance company, we've done this partnership for the next 3 years where you have 33,000 doctors of AXA in the world, accessible within less than 90 minutes from all the different clients of Accor in 110 countries. Extremely important in case you were in need of it. In Page 26, it's the lifestyle ecosystem, again, I'm sure we'll touch upon it with your question. It's only a demonstration, which we shown to you early in the months on how -- how big of an increase that is for that segment in the hospitality sector. It's less than 2% of the branded supply, it is 10% of the pipeline in the -- and that's for the entire world, by the way, it's not only for Accor. But for Accor, you see it on the right side, it is 13 brands. It's going from FAENA recently secured to Gleneagles and I won't go one by one. But what's interesting in that slide, it is for the hospital sector worldwide 10%. It is for Accor, a much great number, 25% of the fee stream from the pipeline Jean-Jacques talked about, which is these 212,000 rooms, comes from that lifestyle segment. It is humongous and probably increasing every day passing. Very much to do with the expectation from your guests where they're really looking for something different. Don't discount legacy brands like the Novotel, Pullman, ibis as well. They have a big role to play, and you can certainly put elements of lifestyle in today's facility as we did over the last few years with music, food and others. Next page is flexibility. Let's not go back too much and drill on it. We've talked about it for the guests. For the owners, they need to preserve what they built, they like the brand of their hotel. They like the physical aspect of what they've been putting together. They're very proud of it as they should, and you should give them an advantage to connect to the Accor distribution technology and/or management expertise. So 42% of the pipeline is really providing either a collection or a brand for them where they feel very comfortable preserving what they built and connecting to Accor. And for the hybrid, we've launched something with Microsoft, a very secured firewall and many other aspects important for large organization by putting those digital tools together with rooms of Accor in a hotel which could meet physically. And we'll talk about it, which is a major endeavor of ours is Workspitality. People are working remotely now we all know that will last, and that will last probably for decades. People will go back to their offices for 2 or 3 days a week, people will need for 2 or 3 days a week, to work from some place. Today, they've been working from home because they have no other options. I guarantee you, there is a space for the hotel industries and for many other players to welcome those nomads, those people who do not want to stay at home because it's too confined, because the WiFi is not good enough, because there's too much nuisance with kids around, and they want within 10 minutes, planet-friendly again, to work, to use a bicycle and to go to some place to work as efficient as they were back to the office, and probably to meet with some of their colleagues, to meet with someone. There's no better facilities than the hotel industry to provide those services, those help for those nomad workers. And that would be a significant source of revenues. My last comment, which you don't have in front of you, it really comes to 3 or 4 things. It's bizarre when I say it, but I will continue saying it for a long, long time. Hospitality is a blessed industry, no question about it, even though we've been going through very bad, difficult moments. It's not a blip because it's going to be lasting, maybe 18 months, maybe 2 years. But in the context of 100 years, that is nothing. Don't be short-term minded on looking back what you have to look looking forward. The hospitality is very strong. And it's very strong because of 3 or 4 things. One, leisure travel will reignite strong and fast, probably stronger than everybody believes, and we'll see proof of it probably in the spring and in the summer. Number two, the long-term growth prospect, demography, for instance, is still unmatched, unchallenged. It's still a very fragmented industry. Accor has the best ever position in those fragmented countries, in those emerging markets. It's all a matter of decentralizing, rejuvenating, delayering, getting closer to the owners, closer to the customer. The world is becoming more local than global when it comes to our industry. This is exactly what Accor has built over the last 10 years. We've never been closer to the owners at the time they needed us the most. Then we have true sources of incremental revenues. And I've talked about Workspitality, I can talk to you about Ghost Kitchen, I can talk to you about different partnerships to be attached to Accor Limited. There are so many things that Accor should be pursuing, which would be sort of revenue is probably far more than what you may stand to lose on international business travel if that was to be impacted. And finally, the one thing which is comforting, of no surprise, though, is the vast amount of liquidity today being available to invest, to seek real estate hotel assets. I've never seen so many investors in the world chasing hotel industry, whether it's on a distress and taking advantage of the debacle or whether it is brand-new hotel to be open in the years ahead because it is a blessed industry. So us, as a service provider, as a manager, it is very comforting to see that vast amount of wealth really to be investing along our side on the 42 brands of Accor. So my last comment is to the team. I told you I was blessed. I would have never done it without all the teams of Accor. That resilience factor and that capacity to adapt has been shown. And a simple word, merci to all of us. Voila, allez, now let's go to the Q&A.
Operator: [Operator Instructions] The first question comes from the line of Simon LeChipre calling from Stifel.
Simon LeChipre: Three, if I may. First of all, any comments you can share with us on how we should think about the EBITDA sensitivity and cash burn when looking to 2021 and how you expect it to evolve into the recovery? And secondly, what's your thinking at the moment on the evolution of business travel in the future? And if you can discuss your current assumptions on the potential impact you expect at the company level. And related to this, on the loyalty program, do you see an opportunity to maybe redesign and adapt your loyalty program to perhaps capture more leisure demand in the future?
Sébastien Bazin: Thanks, Simon. I'm going to leave JJ on the first sensitivity EBITDA cash burn question, and then I'll take the 2 easy ones.
Jean-Jacques Morin: Simon, funny, I was not expecting that question. Just on the EBITDA and the cash burn, this is obviously a key question. You see that we've been improving those numbers quarter after quarter. And what you should expect is that we're going to continue to improve those numbers as we go through 2021. Now one thing, which I'm going to say which is obvious but is very important, is that the capability to improve the number on the EBITDA leverage, the EBITDA gearing of the cash burn is very much a function also of the level of RevPAR that is being discussed. And as an illustration of it, I'll say that if the RevPAR comes back faster than what is anticipated, you will get more incentive. And hence, in fact, your gearing will be better. It's also a function of things that I don't fully have in control, just like I don't fully have in control the RevPAR like what the governments will do. In 2020 in the sensitivity, you do benefit from the following actions from some of the subsidies that the government has been putting in place. As they will disappear, this is going against me. So at this juncture and -- and I'm sorry, and the other element, which is very important, is the health of the world, i.e., part of the issue on the cash burn is the €260 million working capital that I went through -- working capital negative change that I went through when I did my pitch. And so depending on the health of the world and the RevPAR, but not only that, then the people will have the capability to more or less easily pay their fees. And so that then shows us into the working capital change, if you will. So long explanation to say that we are just entering into that year, that there is still not much visibility on how all this vaccination will turn into a real, I would say, improvement of the RevPAR. But you should assume that the sensitivity will be a tad below what we ended up the year at €18 million. And as we will progress, we'll give you more update. And on the cash burn, I think a good assumption is to think that you won't see next year the same unfavorable net working capital variation. And so between these 2 elements, it gives you the sense of why we think it's going to be better.
Sébastien Bazin: Simon, when it comes to the evolution of business travel, I'll play it very simplicitly. 40% of Accor -- I'm referring to 2019 because 2020 is so disorganized, it's not the same benchmark. 2019 numbers, 40% of Accor business is leisure. 40% of Accor business is called domestic business travel. 20% of Accor business is so-called cross continent, international business travel. The first leg, the 40%, will go up. No question about it. How much? I don't know, but probably could go up by 5% to 15% because we're caretaking so much more for them and because it's a mix of Accor brands offer. The second component, which is the 40% domestic business travel, probably will be impacted, but no more than 5% to 10% because of digital tools because those businesses are not too costly for companies, and most of them are medium, small enterprises, seeking new prospects, new business, new clients, and they need to be face-to-face to close the deal. The last leg, which is a 20% of international business travel, there's 2 components in this one. One is the internal international business travel. The guys from Accor Paris headquarter flying to meet with Accor people in Singapore or in Melbourne. No question, in the near future, some of those trip will be canceled because the CEO will impose on the guy to stay physically in his office and to do it by Zoom. But the vast majority of it is those international business travels from Google, from Microsoft coming to Accor, trying to secure a $20 million deal, and I can guarantee you, if the Google guy stays in his home office and if I see the guy from Microsoft, the guy from Microsoft taking the pain to come and see me, will probably have 70% greater chances of closing a deal with me. But one could question that probably 1/3 of that international business travel could be impacted in the near future. So if you do the math appropriately, you probably stand to have a 10% overall impact when it comes to domestic and international business travel. Some of it will be buffered by the increase of leisure and most of it and even more will be surpassed by the sources of new businesses that I touched upon like unutilized spaces of Accor who could generate much better revenues. When it comes to the last, which is loyalty program, yes, it is being adapted much more to leisure in multi, multi different usage. Number one, we've been signing, as you remember, partnership with AEG when it comes to entertainment, signing a partnership with Sony on music, signing partnership with chef, good cook classes when it comes to gastronomy and food, signing partnership on museums, signing partnership on sports. It's all a matter of the frequency of usage of your program, and that's exactly what we created 1.5 years ago. We just want now to display it.
Operator: The next question comes from the line of Jamie Rollo calling from Morgan Stanley.
Jamie Rollo: Three questions, please. First is also a bit on the outlook. I appreciate you're not guiding the back in November with the convertible raise. The company said expected positive EBITDA this year based on borders reopening by the end of the quarter. So does that mean we're now looking at probably another loss this year? Secondly, on services to owners, clearly quite difficult to forecast that given the top line. But can we assume that segment breaks even before RevPAR fully recovers given the savings we're talking about? And sort of adjunct to that, should we expect the need for additional OpEx into SMDL, given you've got a wider range of smaller brands now which might need some support? So perhaps some of the savings get recycled. And then finally, just on AccorInvest, you've taken a 400 million write-down on the balance sheet value to 620 million. Was that the valuation that the equity raise is being done at? So can we simply add the 150 million injection to get to something like 750, 800 million current value? Or is the equity raise done on a different valuation? And is the lockup on that still May 2023?
Jean-Jacques Morin: On the AccorInvest, the lockup is 2023. There is no really, Jamie, an impairment per se. It's the recognition of the losses. It's an equity investment. So the transition I think you referred to between what we had at the end of last year on the balance sheet and what we have currently is coming from the recognition of the 400 million of losses that AccorInvest has had at net income level during the fiscal year. That was not per se an impairment year. It's mostly the revaluation through the accounting of the net loss of the year. In term of the STO, I think what you should assume is that we're not going to break even on STO next year. There is not enough RevPAR as we can see it today that it's going to bring the STO, the -- to a level which is a breakeven level. And just to be clear, sales, marketing, distribution and loyalty. We're not going to be able to flex the level of cost to a level of fees just -- by the way, a lot of people in the industry, I think people are more or less, I would say, direct on what's happening here. But you can't do that. So it's going to take more than 1 year in order to get back to that point. And on the smaller brands, yes, but it's marginal. I mean if what you think is a significant or large P&L charge, operating charge that we would take on that, the answer is no.
Sébastien Bazin: No, no. On the first question, Jamie, I remember exactly my statement at the end of November, I think it was. I'm saying that, I guess, 2021 should show a positive EBITDA provided frontiers reopened by the end of the first quarter. You know us very well, Jamie. This company is fighting. And I don't change anything in the quarter at November. My additive comment today is, in November, I did not expect confinement to be reinstalled in more than half of the countries of Accor in between December, January and February. I really thought that frontiers may have been closed, but domestic business would have been probably remaining and still vibrant. And that is not the case, as you know, in most European countries. So we'll do whatever it takes to be in a positive territory. It's all a matter of RevPAR. And you've done some activity analysis. We're doing the exact same one at 62%, with minus [391]. You know and Jean-Jacques been guiding you on that point of RevPAR, €18 million EBITDA. Do the math with me, and you'll come to the proper result. It's not in my hands. What's in my hand is to try to diversify away from RevPAR activities and to find local source of revenues to get to the positive territories.
Jamie Rollo: Jean-Jacques, sorry, can I just come back on the STO? It was really more of a medium-term question. I mean could that break even before your RevPAR gets back to 2019 levels? And just on AccorInvest...
Jean-Jacques Morin: Yes, the answer is yes. The answer is yes. And I mentioned the 60% of the RESET program, which is affected to SMDL. That's obviously a key element into that answer.
Jamie Rollo: Okay. And just on AccorInvest, what's sort of up-to-date -- or has there been an up-to-date revaluation you could share with us so we can think about the up-to-date NAV on that?
Jean-Jacques Morin: There is no data here that we can share. I mean to do an NAV today is complicated. So that's why I think we would -- there is no data that is shareable here.
Sébastien Bazin: Well, let me give you what, let me tell you something a bit different, which is -- no, no, a different meaning. I'm not going to share data with you. But I'm going to tell you, as an investor, and Accor being represent on the Board. So the story is very simple. AccorInvest was in need of a 1.2 billion, 1.2 billion numbers to phase the next 2 years of uncertainty. That 1.2 billion is known, and it's roughly -- not roughly, it's 477 million of guaranteed state. 477 million of shareholders' equity injunction, 250 million each of asset sale proceeds. The later part, the 250 million has been secured with proceeds from African asset being sold, Australian asset being sold, cash in the bank. The 477 million state guaranteed, it is signed today. The 477 million cash injunction has been also met. So for all of us to look forward for AccorInvest, if you really look in 2023, 2024, the impact for the equity providers, which date of 2 years ago, those guys were looking, and we shared that with you, to 12% to 14% return on the making the investment in AccorInvest a couple of years ago. I can tell you with what I know about the industry and the greatest asset possible controlling European capital cities, that 12% may end up being 6%. But that money is well safeguarded.
Operator: The next question comes from the line of Bilal Aziz calling from UBS.
Bilal Aziz: Just three for me, please. Firstly, just a bit of a follow-up on the incentive fees. Can you give a bit of an indication of how much you actually booked in the fourth quarter and which reason they were predominantly in? Secondly, just on the negotiated room rates with the corporates, how did that conversation go towards the end of last year or even the start of this year? And then lastly, just on the cost savings expected this year, you've given a number of €70 million. What's the number net of all of the subsidies you had from the French government that you don't expect this year, please?
Jean-Jacques Morin: Okay. So on the incentives, your question is how much got booked in Q4. I'd say that 75% of the amount that was booked in the full year was booked in H2. And the amount of incentive that was booked, just to also be precise, the incentive equates to 15% of the M&F fee collected in the year. So you do 15% of the M&F fee, you will find 45 million of incentive and out of that 45 million, 75% got booked in H2. So that's the precise answer on the point one. Then you had a question on -- your second question, sorry, was...
Bilal Aziz: Room rate.
Jean-Jacques Morin: Yes, the room rate. On the room rate and the negotiation, what's happening here is, yes, there are some negotiations. But as people are not committing volumes, in fact, the negotiation doesn't really conclude on anything. And so I think it's just something that needs to be followed. But why commit yourself on giving potential discount, if you were to give discount, when you don't have commitment on volume. So it's, to some extent, a little bit of a moot point right now. And then -- yes, the cost saving.
Sébastien Bazin: Cost savings. €70 million from RESET.
Jean-Jacques Morin: This one I covered. And the first one I didn't cover. Yes, I think the €70 million of RESET, you wanted to know about the subsidies. I think the €70 million is the pro rata of what you will have in 2021 from the €200 million plan in the P&L. So it's €70 million plus, right? We'll give you update as we progress in the year, or in the first month of the year. So €70 million is a number that we, for sure, commit to. Then the other part of your question is how much of subsidy did we get in 2020. I think rough cut number, €100 million is what we got throughout the various jurisdiction in the world in term of subsidies that were recognized in our P&L as a reduction of costs on payroll.
Operator: The next question comes from the line of Vicki Stern calling from Barclays.
Vicki Stern: Just firstly on the cost savings, trying to sort of get at how permanent they will be. I suppose, do you look at it as a straight boost to your EBITDA that's going to leave your margins structurally higher than before we entered the crisis? Or do you think that as the recovery really comes through in a few years, any of that might be reinvested? Secondly, on the net unit growth, could you give us any sense on what level of unit growth you've got in mind this year? I think you mentioned 300 hotel openings, but perhaps you could put it in the context on a net basis after your expectations of churn, and given your comments on how much liquidity you see flowing into the industry today, I guess, when you see the group back to that sort of 5% plus net unit growth per annum. And then finally, some of the U.S. hotel groups obviously started to talk about a pickup in bookings, both transient and group for later in the year. Just keen to know if you're seeing any of that.
Jean-Jacques Morin: Yes, on the transient and the group, it is a very good assumption to think that you will see the miles and that part of the business coming back. This is the one which is so low today. I was making the point in my comments on North America performance, that all the big formats that we have that really live well on convention, exhibition, incentive kind of sales are today pretty empty. Something with the performance in Germany, part of the performance in Germany is the fact that the German business is very much orientated towards fair. And so when you don't have enough those convention, then your business is very much suffering, which is what you see in the numbers. So it's a very good assumption to think that this part will come back in the second part of the year, Vicki. In terms of the cost saving, I mean, if you make the computation, we said 60% is the SMDL, 40% is M&F. That will, in fact, be a boost and a permanent boost to the margin of the M&F segment of Accor, everything being equal. If you make the math, it's probably somewhere between 5 to 10 points of M&F margin improvement on the Accor business going forward. In terms of the SMDL and the recovery, today, the assumption is not to reinvest. Today, the assumption is that it falls through to the bottom line. Hence, the comment that we said that the €200 million is a fall through to the bottom line. As SMDL will be in a loss position next year and probably will recover only the year after, there is anyway, plenty of space in order to get that profit in order to boost the net profit, the net EBITDA level of SMDL. And then maybe in 2 years or 3 years, we can think about what you are pushing forward, but this is not the point today. This is not the thinking today.
Sébastien Bazin: Well, it's not the thinking today and neither tomorrow, I mean I guess Vicki, you -- I precisely use 3 words, rejuvenating, decentralizing, delayering. There's no way back. You don't go back on those. Those are meant to be permanent, those are good decision, so Accor will be stronger post-crisis than before because of all those actions being taken, and those have to be preserved and to be permanent for sure. And for the net unit growth, we were looking for 3.5% I think.
Jean-Jacques Morin: Yes, between 3% to 4% for next year is a good number.
Sébastien Bazin: 3% to 4% growth, which is above 300 hotels, and it's roughly 45,000 gross room opening.
Vicki Stern: And as you look at the progression from that 3.5 look back to the 5, I suppose it's hard to say at this stage, but when do you think you might be back above the 5 level?
Jean-Jacques Morin: Well, it's probably couple of years later. It's -- the one certainty we have is we know we're still going to have some postponement in 2021 to 2022, 2022, 2023. But yes, we will be announcing when Gaurav were there, and it's now confirmed by Agnes succeeding to go up. We should be going to the 60,000 rooms growth opening compared to the 45 we had before, no question.
Operator: The next question comes from the line of Leo Carrington calling from Credit Suisse.
Leo Carrington: Can we just talk about Ennismore and sort of your vision for the new lifestyle division and how fits together -- Ennismore would fit together with [indiscernible] and your other existing lifestyle brands? And I suppose, to build on what you said earlier, is this about targeting conversions, noted the high proportionate conversions in your pipeline? Or is it just about new consumer preferences rather than sort of -- and also tackling new build hotels? And then in terms of the Ennismore merger itself, how does it come about? Has this been a target of yours for a while or more of an opportunity as it rose during the pandemic?
Sébastien Bazin: Well, Leo, thanks for asking. No, it's not an accident at all. We've been advocating for the last 10 years that, that industry has known a tremendous shift in 2005, early 2000s, with the advent of social media and the ability for billions of people to share views, comments, experiences, things they like, they dislike. And all of a sudden, The Street prevailed on the employers and the company like ours. We've been pushing product to the clients of ours for 50 years, from 1960 to 2010. It's called mass marketing. We've been inventing brand, pushing those brands successfully to the hundreds of millions in this planet. And that's called Holiday Inn, Hilton, Accor, Novotel, ibis, I can go on and on. And it worked. And you see how that's been shifting in 2003, 2005, 2010. And all of a sudden, people were tired of it. They wanted something vastly different more unique, more local, more food content, better design, different in between geographies and different -- and basically adapting to different culture. That doesn't mean this segment before is dead, we just have to adapt to it. So by me saying that to you and responding to The Street, we decided to really enter a new field, which is a more daring initiative because there's no consistency and you're in the hands of extraordinary creative brand owners like the Trigano for Mama Shelter, like Sam Nazarian for sbe, like Christopher -- I can go on and on for 25 hours. And of course Alan Faena for Faena. And we're trying to charm, seduce them by giving them the benefit of speed and scale and distribution of our core, giving them muscles to show better what they actually put together because they had basically inability to go from 5 properties to 25 properties. But Accor could do so with 1 provider. Keep those guys on board. They need to be physically there. They need to be the brand owner protector. And you basically attach to them a new organization called Ennismore with full autonomy, full empowerment because it is a different business, it requires different skills. Put together those 12 brands -- actually, 13 brands, go in each segment because JO&JOE is also very powerful for the kite surfer. It needs to be made affordable and then ride along. But they have the keys, and many of those brands should remain local. Don't even ask or seek to display them on 5 continents because it would be unworthy and too dangerous. But some of them like Hoxton or Mama Shelter could be displayed in many continents. So it's the beginning of a journey. I think we spotted it probably way ahead of many others. But it's a big testimony to responding to what people want. And it's true for leisure, and it's true for business, by the way. Mainly business travel also want to share and have that experience when traveling for business. So at the end of the day, what we're trying to create, and I can -- it will be a vast success for 1 condition. If you need to make all those hotel brands targeted, catered for the local community. So more than 70% of the revenues coming from those hotel brands have to do with social local hubs, has to do with foodie content, has to do with culture, has to do with design. It's meant to be for the local. Guys, business travel leisure will pop in because they know it's famous and liked by the locals. So you reimburse the way you conduct your business. That's what it is.
Leo Carrington: Okay. And with Ennismore itself, just a quick follow-up. I mean will you be disclosing or communicating sort of what you're contributing financially and sort of the -- and what ownership there will be of that new entity?
Sébastien Bazin: It's, sorry to say that way, debatable. We -- it is an autonomous vehicle on par with 2 co-CEOs the Ennismore family will innervate 1/3 of that into its entities, so of course, it will have its own P&L. We'll decide in the next few weeks how to report all the numbers to you on -- by the end of June because you probably noticed that, I guess, we've been -- we shifted the organization on the 8 different hubs. We also have full autonomy. And then we're creating Ennismore as not a distraction but that's something which is of a different autonomy. So given the benefit of the next few weeks on making sure that we report to you correctly for the first semester, the new phase of this new organization will have to do so anyhow.
Operator: The next question comes from the line of Alex Brignall calling from Redburn.
Alex Brignall: The first one is on loyalty and distribution. Last year, you disclosed kind of member numbers and loyalty contribution. And I know the denominator messed up in 2020, but I wonder if you could just talk about what happened in those figures. And what impact, I guess, more broadly, a shift from business towards more leisure would have on that and on distribution? The OTAs have typically been a lot stronger on providing leisure traffic, so I just wondered what impact that could have on the future, positive or negative. And then secondly, on the pipeline, I guess a couple of questions on it. The first one is has the measures taken with AccorInvest affected any of their future growth plans? And the second one is, I guess, more of a holistic one. Post the financial crisis, growth kind of slowed down to practically nothing, particularly in the U.S. but other regions also sort of 4 years after the crisis, after everything have been planned, has already been built. It seems like everyone is talking about growth bouncing back. So I wondered whether we just don't think the same will happen this time. It seems the more structural changes happened in terms of actual demand for travel. So I wondered sort of why that should still be the same level of hotel construction and why it would be different opposed to the financial crisis or perhaps it's you are taking share and others will not be growing. So any kind of high-level views on that would be fantastic.
Sébastien Bazin: Well, that's a big list of question, Alex. On the -- Sebastien here. On the loyalty, is being increasing over the last 5 years between 6 million to 8 million new members per year. At the end of 2019, we had 64 million Accor Limitless members. That number has been increased by 4 million to 68 million at the end of December 2020. Seriously, I would have expected less than 4 million increase because we basically had zero traffic. But we spent so much time, effort on all at-home cooking classes, giving music experiences. So we actually connected with many people, even though they were not using and spending and burning miles. So quite an achievement on behalf of the team. So we should basically recoup that 7 million to 8 million pace of new members the minute the hotel reopens. So -- and probably I'm more positive, optimistic than ever because of the content of the Accor Limitless program with all the partnership being signed and announced with Visa, with BNP and with music and sports and many different categories in which people can actually burn the miles. When it comes to the OTA and the traffic and leisure, you are absolutely correct. The one thing we'll have to master the best -- and it's going to be a difficult one. I have no doubt that I guess Expedia booking will spend billions of dollars in search words, keywords, trying to basically secure customer acquisition. At the same time, all of us will be back in the field. We mastered it pretty well in 2018, 2019 by protecting the direct. It's very much interconnected with your first question on Accor Live Limitless. The best tool we have to battle against the OTA is not to compete with them on buying keywords because we don't have the same amount of wealth. So it's really a matter of repeating on retaining existing clientele of ours and on increasing those lifestyle. Because I can tell you, for the Faena, for Rixos, which is all-inclusive, for Hoxton as well, they are very, very few dependents. They have very few dependency with the OTAs because most of the clientele, 75%, 80%, for Rixos it's over 85%, is direct customers, repeat customers because they don't need to go to booking to book on a Hoxton or a Rixos or a Faena. So which is also why we're going into those brands with a high recognition and a high loyalty rate. So concern? Yes. But let's be very disciplined. I'm not competing on the wrong metrics because otherwise, that's a lost battle. But that's okay. The traffic, the increase will be a beneficiary of it. When it comes to AccorInvest pipeline, yes, you're absolutely correct that renegotiations of AccorInvest balance sheet and the 1.2 billion I referred to, of course, has an impact on AccorInvest's ability to grow over the next 24 months. That's being already -- already basically put in place on the estimate I gave to Vicki earlier today on the 3% to 4% growth. That accounts for virtually nothing for AccorInvest. And AccorInvest, as you know, is 85% European-centric and most of our growth is coming from outside Europe. So watch out that somebody else will replace AccorInvest. Most of the franchisees, the franchisees of Accor in Europe will probably take advantage of AccorInvest not treating capital and then using beyond wealth to provide new brands, destination for our core. And on the hotel construction and the contribution of growth to the EBITDA and bottom line, yes, you're correct as well. The -- it's all a matter of churn, and you probably see that very clearly. If you have 2% or 1.5% of your hotel churning away from you, you lose immediate management fees on those hotels leaving the network. And it takes 18 months to 24 months at a minimum for new hotels to be open to really come up with the same level of fees that you've been losing for hotels being with you for 10 years. So there is a lag effect, which is usually 18 months to 36 months. So for us, for 2019, for 2020 and so forth, we don't -- 2021, we don't expect net EBITDA positive because of the churn activities for the last 2 years. The 1 thing which is a big caveat here and 2 emphasis on my part and on the part of the team, I cannot stress enough how much we've been diving for the last 9 months, taking advantage of slow time. On really dissecting contract by contract, what is the profitability of every single management franchise contract of Accor. That company has been unfortunately too much driven by absolute room growth number, which is a stupidity. And that's one of the things that I need to do with all of you and my Board members and investors.  Whether it's 3.5%, 2.9% or 5%, it is absolutely irrelevant. What counts for is how much EBITDA transformation do you have bottom line for your investors. The rest is rubbish and only volume-driven numbers, which makes no sense. So we've been revisiting for having a new hotel managed in the middle of, let's say, Turkmenistan. It's probably very difficult because the cost of managing a new hotel in Turkmenistan is far more than the contribution from that hotel. Having another hotel in Paris, in which we have 300 of ours, that is direct contribution. So sorry, that's a long answer to your question. But you are correct. What I'm looking for is profitability per contract and not room count.
Operator: The next question comes from the line of Richard Clarke calling from Bernstein.
Richard Clarke: Jean-Jacques, you're on the, I think, in the press this morning, talking about you're expecting consolidation happening in the hotel industry eventually. Just wondering what form you think that will take and how Accor takes place in that and whether you're still optimistic about some of those big block conversion deals you're talking about during the year.
Sébastien Bazin: Richard, I left Jean-Jacques alone for like 10 minutes this morning and hear what he said. So thank God, I've heard the last part of it, which is Accor is not playing into it. But I'm laughing and smiling when you asked the question. But I'm going to leave you with him and give his answer.
Richard Clarke: I'll ask the other 2 questions afterwards.
Jean-Jacques Morin: Oh, you want me to answer that question?
Sébastien Bazin: I mean him and I.
Jean-Jacques Morin: Why don't you do it?
Sébastien Bazin: Because you're doing it much better than me.
Jean-Jacques Morin: No. I mean on consolidation, Richard, I won't teach you anything. I mean you know that industry as well as I know it. I mean there is plenty of space for consolidation over time. The question is what is over time. And today, frankly, I'll come back to the comment that has made all over the year. I mean the one thing that we need to do is focus at dealing with the situation that we are faced with, and there is plenty of work, which is to be ready for the rebound, all the things that we'll be discussing, the loyalty, the lifestyle, the RESET, making sure that we've got the right people in the right place. To remind -- I mean to basically go into those kind of thinking, I think is not the right time at all. I don't know if I can be clear on that.
Sébastien Bazin: No, but I like the shift, Richard. I mean you see, I started 7 years ago by being the daring and risk-taker and consolidation and acquisition, and Jean-Jacques was a disciplined focus, rigorous. And we're shifting. I'm becoming the disciplined, focus rigorous, and becoming the audacious guy [indiscernible].
Jean-Jacques Morin: Can I defend myself? I won't do it publicly. Okay. And any other questions, Richard that we can answer you?
Richard Clarke: A couple more. Just with the sale of the -- of course, with the sale of the Huazhu stake. I was just wondering if you can just update us on your so long-term ambitions of how you see Accor in China, your relations with Huazhu and Jin Jiang in that as well? And then my third question, which is going to really be a sort of point of clarification. In your registration document, there's a comment on your management contracts, if you don't generate 85% of budgeted EBITDAR, D-A-R, for 2 consecutive years, you go into default. I just want to confirm that that's not a risk on any of your management contracts going forward.
Jean-Jacques Morin: I'll want to dig in on the second one. On the first one, Richard, ambition in China are huge, but it's a matter of methodology. We said it, China likely will become the largest hospitality market on this planet, probably 20, 25 years from now. And you've seen the speed, the scale of the deployment of 3 actors Jin Jiang, Huazhu and BTG, which is Beijing Tourism Group. 2, I stayed on, Jin Jiang and BTG; and 1 is entrepreneur-led, which is Huazhu. Huazhu had, 10 years ago, 20 hotels. As of last night, 7,000 hotels. And they're opening between 800 to 12 hotels -- 1,200 hotels per year. Far more than any of us as a western operator, and it's not going to stop. They are only replicating what happened in North America in between 1960 to 1990. So it was 30 years of immense growth. They're exactly doing the same. It's just with a greater and a bigger market. So don't show, don't bet against China. And not only are they doing so, but guaranteed, they will occupy the space, and the 3 Chinese players will be occupying probably more than 50% of the supply in America -- in China, exactly the same way that the 6 U.S. players are today consolidating 80% of the supply in the U.S. So they just learned -- they just piggyback on what worked elsewhere. So when you say that, there's another element, which is the largest emitting market today happen to be Chinese travelers, which is roughly 130 million to 150 million travelers, of which 85% of them stay in Pacific. They go to Korea, they go to Japan. They go to Southeast Asia, they go to Indonesia -- I mean Malaysia, sorry. And only 15% of them go to the Western world. And that 15% will increase with more comfort zone and better experiences. So you need your brands to be visible in China because that is a huge market, and you need the Chinese to enjoy and to know the existence of your brand to make sure they will choose yours when they go elsewhere. How do you get there when competing with people with greater muscles, better local knowledge than you do? This is what we started 4 years ago, where I told you and the Board of Directors company that when it comes to economy, lower mid-scale segment, we simply can no longer compete with them because they're going to crush us. And we decided to pick a horse, in that instance being Huazhu, and we decided to give a master franchise to Huazhu on ibis, and it worked. And I was looking for 350 hotels opened by them in 4 years. They already opened 300 hotels in 3 years. And opening another couple of hundreds. And by doing so, we've been smart enough to accept to be paid in shares, actually, to ask to be paid in shares this company as opposed to be paid in cash for the master franchise. And yes, that couple hundred million became 1.2 billion. And this company went from $1.5 billion valuation to today, $19 billion valuation. So it's -- we're only starting to learn the ability, the professionalism, the strength of those Chinese players. Just -- yes, respect, respect for them and just make sure you find the next best methodology for you to continue to exist in China but very likely, in partnership, alliances of those who know better. Those happen to be Chinese operators. And it will be a different answer on different segments. It won't be the same answer for Raffles than it is for an ibis, it would be for lifestyle. Some of them you want to preserve autonomy entirely. So sorry, it's a long answer, but I am happy to spend a couple of hours on you because it's a fascinating territory in which you cannot be absent for the reason I just evoked.
Sébastien Bazin: Just on the second part of your question, Richard, the close that you referred to is an example of a close that you may have in contracts. But as you know, contracts are different one from the other. It doesn't change the fact that on the answer on that specific case is that there is no risk as we've been able to invoke force majeure. So basically, as there was the force majeure coming from the situation as it is, all those clauses are, in fact, not valid in the current time. So that's the answer. So there is no risk.
Operator: The next question comes from the line of Stuart Gordon calling from Berenberg.
Stuart Gordon: A couple of things. Just firstly, on AccorInvest. Would you be able to share with us what their EBITDA was for 2020 and also what net debt was at the end of at the end of 2020? Secondly, I think as you point out in your slides, China's GDP has rebounded very healthily. I think we're still looking at sort of low teens declines in RevPAR. Would you think that, that's a reasonable baseline when we think about recovery elsewhere around the globe? And lastly, just in the work hospitality, I think we referred to it as. What discussions have you had with corporate clients there? Because intuitively, you'd think they'd be reluctant to pay for office space, for staff and then pay for them to have a separate office even if it's 1 or 2 days a week. So what discussions have you had with corporate clients on that?
Sébastien Bazin: Sure. On AccorInvest, I will leave Jean-Jacques, and he will tell you, no, we can't disclose the numbers of a private company.
Jean-Jacques Morin: Yes, and in fact, what you can do is the percentages that apply to a AccorInvest are no different than the percentages that apply to a REIT. So you will find exactly the same pattern in terms of how the number reduced, and we have been giving you, in previous presentation, what kind of the EBITDA was in history of AccorInvest. So if you take the pattern of the REIT, profit reduction in the current year and apply it on a basis, which is the historical basis we provided to you, you're close to the number. And we can take it offline if you want. But I can't disclose those numbers publicly.
Sébastien Bazin: And Stuart, on China, it's -- you are correct. We expect -- actually, I expect low teens RevPAR for 2021. But seriously, I don't know whether it's going to be a minus 5 or plus 5. It's coming back for China. It's coming back strongly. It's been tough for January, but they've shown us the speed at which they get back to almost positive territory in between August and December. The big question is not really the RevPAR, whether you are a minus 10 or plus 10. The big question is the mix of that RevPAR. You know that you need 50% pricing within the mix in order to get profitable margin and to basically go bottom line. If you are 80% occupancy, RevPAR driven and 20% pricing, then it's great because you show a pretty good RevPAR but because it costs you so much more to operate a hotel at 95% occupancy when you have a low pricing. So what's happening today in China, which is why we had to be cautious when we talk about only a RevPAR is since the frontier have been closed, the pricing is low. They have a better occupancy and they achieve an okay RevPAR, but it's all domestic clientele. So they need international fueling clients to pay more for the same room to have a better mix on the RevPAR. So -- and just a word of caution for you is make sure that, I guess, you try to dig in on the RevPAR component between occupancy and pricing. But -- yes, they will be back and the minute the frontiers reopen, they would be probably even better territories when it comes to RevPAR because many of us need to go back to China for business, and I'm the one, certainly, the minute they open, I need to go and sit down with Jin Jiang and sit down with Huazhu and sit down with my team because it is a huge land of opportunity in terms of expansion. When it comes to the hospitality corporate lines, you're also correct. It will only work, provide though you offer those corporate clients in which we are conducting negotiations through WOJO, which is a company we own 50% of, or with having the other 50%, which is a coworking operator, actually the third largest in France, that we started 3 years ago. It only works if you can show and prove to the corporate organization that by him reducing his long-term commitment on existing leases, so getting with, let's say, 15%, 20% of the existing spaces we contracted for by letting go 20% of his obligation, you basically find him the spaces for his people to use and knowing that they won't go back to the office, you can let go 20% of his long-term contract obligation. So it's a win-win. Win for him because he's lowering his rental cost, and it's a win for me at a lesser cost for him, of course, for occupying 2 hours, 1 day a week, the current facilities at virtually no cost for the hotel owners. It's because they don't have to refit the current premises of unutilized space. So -- but you're correct. It has to be demonstrated that he could be lowering his rental cost obligation, which is the case.
Operator: The next question comes from the line of Andre Juillard calling from Deutsche Bank.
Andre Juillard: First, my first question was about distribution. And the partnership you had signed with Sabre. Could you give us some more color about what is going on and how you plan to manage the evolution of your reservation system? The second question is on the switch between corporate and leisure. As mentioned several times, leisure is expected to rebound faster. What do you plan to do in terms of pipeline? Do you plan to focus more on results development? Do you plan to change a little bit the supply, the existing supply to better address the leisure clientele, et cetera? And the third question is about Ennismore on the lifestyle segment. Could you give us some more color about the pipeline, the evolution of the capital in the structure, considering that you still have the founders in most of the brands? You were mentioning that it was important to keep them on board, but will it be the fact for the future or not? And same thing in terms of development. Will you develop some more resorts in the future? Or will you continue to mainly focus on cities?
Sébastien Bazin: Sabre, we've made an announcement in April saying that because of COVID and uncertainty, we made a pause on that putting together what could have been in the cloud PMS, CRS connected software. So we haven't reengaged with them as of now because of actually the uncertainty and volatility in the market. So in terms of priorities, we focused on RESET, on the changing the organization and many of those aspects that you well understand. So when it comes to the switch from corporate to leisure, no, the switch is really in the mind of what I've talked about, which is 4 years ago, thinking that we should be going more into that lifestyle, local, social hub component, which happens to be Ennismore. And within Ennismore, you'll see some urban capital cities, and you'll see also some resort destination. And you'll see a huge food and beverage content, which is also part of what we've been doing with Paris Society and many others. But is there any new priorities on adding greater numbers of resort? Not really, but I touched upon something very different is there's certainly a greater emphasis today on all those natural places in that we do have in the 5,139 hotels of Accor. Many of those happen to be on a mountain, in a villa next to the water, in some extraordinary site. And we should be revisiting the type of the clientele looking for those facilities and probably be a better curated on behalf of those hundreds of millions looking for those different experiences and you've seen that in America. And that's a big push for us. So it's just a revisiting of a better targeting clientele for those existing hotels of ours. When it comes to Ennismore, they have today -- and we said it in the press release, they have today 73 hotels up and running. Actually, it's 73 plus 10, I think 83, it doesn't matter. Plus or minus 80. There is 100 to be opened, signed either under conversion or under construction in the next 2.5 years. And there's another 120 in the pipeline today in which we signed an MOU on management contracts. So you'll go very quickly from 80 to 180 that is absolutely secured, and you'll go to 300 in a matter of 4 to 5 years in 40 countries. So it's a very significant endeavor. And as I told you, in fees, the fees per room of those facilities is 3x the amount of the average fee per room for the existing network of Accor. On the founders, with notable exception of Sharan Pasricha, which is the Ennismore founder and owner in which I told you he's going to be inheriting when we close in few weeks roughly 1/3 of the combined Ennismore entity. The objective is on all the existing brand owners like the Trigano, like the 21c Family, [indiscernible] was in 24 months, 100% of that ownership will be in the hands of Accor. So we gradually, as committed, going all the way and buying every single owner, but they will be remaining with us as what we call a brand protector in a 3 to 5-year contract. But they'll be out of risk personally.
Andre Juillard: Okay. Just coming back on the Ennismore model, you were mentioning that the fees were higher compared to the rest of the hotel. So that means that you've got also a higher level of CapEx and refurbishment to be done more often on them or not?
Sébastien Bazin: No, absolutely not. First, a fresher product, but it's the same 2.5% to 4.5% of CapEx per year, of which 2/3 is maintenance and 1/3 is refit. No, it's the same parameters.
Operator: The next question comes from the line of Thomas Beevers calling from Stockviews.
Thomas Beevers: Two questions for me, please. Firstly, just on the recapitalization of AccorInvest. Just wondering if there are any -- if you provided any concessions on fee income or any quid pro quo in relation to that deal. And then secondly, just on the deferral of the fee collection, can you give any sense of if that's -- when that might start to unwind? Or if that is still likely to build up over the course of 2021?
Jean-Jacques Morin: Just on the fee deferral. I mean the issue is that's a little bit what I answered before. The one portion which is difficult is to figure out the speed at which the subsidies from the various government, the loans, which are done to companies which are in trouble, knowing that you don't talk of one country. you talk of many, many jurisdictions. And some of them were surprises or surprisingly supportive, just like I was mentioning, Australia been extremely supportive. So the question there is, how and at what speed will that support be there? And I think that's going to change the capability of some people to basically have the liquidities to pay you the fees. So we'll need to see how this develops. As I've told you, my assumption is that there is no more net working capital degradation, which is an answer to your point here.
Thomas Beevers: And on the first question about the recapitalization?
Sébastien Bazin: It's -- Thomas, we touched upon it. I guess what we -- I actually gave pretty specific numbers. The numbers are the following: total recapilization of AccorInvest is €477 million of new money, of which Accor's share would be €154 million. And then you have the state guaranteed loan of the same amount, €477 million, and on top of it, you have asset sale proceeds secured of €250 million-ish for a total of €1.2 billion, which is far sufficient to buffer any volatility, uncertainty for the next 24 months ahead. On some...
Thomas Beevers: My question was actually whether that deal involved any concessions from you on the fee income side.
Jean-Jacques Morin: The answer is no. The answer is no. We did not -- if your question is did we reduce the fees that we've got with the AccorInvest? The answer is clearly no.
Sébastien Bazin: No. That right. That's right. And we prevailed.
Jean-Jacques Morin: And then AccorInvest is no different than any other guys on the planet, i.e., they are part of the deferral of fees that you see in the working cap. And so we just need to work with them to get paid.
Operator: The next question comes from the line of Luigi Algisi from Wells Fargo.
Luigi Algisi: I think you mentioned earlier that it seems there is a quite high level of interest from investors on hotel assets. And I was wondering if you could give us a bit of more color on where do you see in terms of geographies and urban, suburban and what sort of valuation. I don't think huge amounts of transactions so far, but what sort of valuation you're seeing compared to precrisis level? And the second question, if I may, is on the 40% domestic business travel that you mentioned of your exposure to the business trade. I was wondering if you have a breakdown of that 40% between more SMEs and essential business travel and what is maybe more large corporate sort of auditor, consultant type of domestic business travel, if you have a bit of color on that.
Sébastien Bazin: You know what, Luigi, I would be -- I would be actually very much interested myself to have better granularity on the 40%. I'm sure we have it. I don't have it handy now. I think it depends so much on country. I'll give you an example is we have over 250 to 300 hotels in Brazil in 80 cities. And I can tell you, for Brazil domestic dependency of Accor is 80% small companies basically occupying those 80 tertiary, secondary cities in Brazil. So I think the answer would be vastly different when it comes to different destinations. But I would say more than half happened to be non-large organization because of the diversity of the Accor network in so many secondary, tertiary cities. But I'll -- we'll get back to you on this one because it's a very interesting question.
Jean-Jacques Morin: And just, Luigi, so that we don't -- we don't capture when we talk to our customers necessarily what business they're in. So if they have a card with us, we know that, but it's not a data that we capture on a systematic basis. So that's why we don't have like a straight answer on this one because we always do it through sample, but not so much through mechanical quantitative collection of the information, which I'm sure you will understand.
Sébastien Bazin: On your -- on the investor hotel assets appetite, it's, again, Luigi, super vast. You have still enormous appetite from the GIC, QIA, PIF, all the [ 7 front ] of Asia and Middle East, I see large buyers of hotel classes and still putting a lot of money at work when it comes to development, which has a lot to do with creating new destination within their respective geographies, certainly for Saudi Arabia and something for the buy, by the way. There's very few assets being sold in a crisis mode. I mean you probably find a few impairs probably less than 10. And those, of course, being sold at 50% lower valuation than precrisis because of distressed and because of inability to cope through the crisis. But as Jean-Jacques said earlier, we haven't seen any of it yet because of government subsidies. Many people who should -- or could have been in default are not showing that default today until they have to reimburse that state guaranteed loan, which could be 6 years from now. In order that the new investors when then pop in, in terms of replacement value, they pay the exact same pricing that we had prior to COVID, expecting the same 2% to 3% return for luxury property, 4% to 6% return for mid-scale property, 8% to 10% return to an economy property. So -- and it's very much in correlation to the value of the land and the preservation of your asset. If you have a luxury hotel in the middle of New York or Paris, that hotel will be also -- will be worth a lot of money in the years to come because of the place it occupies in a capital city. If you're in the middle of nowhere with an economy hotel, you want to have the maximum cash flow, cash-on-cash because you might be in the middle of nowhere for the next 50 years. We have a last question, and then we need to go on a different form. So we'll put that on you, but I don't know whether we have the last one.
Operator: The final question comes from the line of Jaafar Mestari calling from Exane.
Jaafar Mestari: Just two, if that's okay. Firstly, when we build an EBITDA bridge for, say, 2023, should we still consider including some of the previous buckets, such as the €75 million loyalty benefits, the €30 million digital losses going into breakeven, maybe some remaining hotel assets, portfolio management? Or is it more realistic to assume that the RESET cost savings plan, as the name could suggest, is basically replacing or consolidating most of those? And very quick one on onefinestay, just curious what happened in terms of your listings. Did owners come to onefinestay more because they needed the cash to pay for their assets? Or did you see some of them leaving onefinestay because putting up the property for long-term residential rental is more attractive right now?
Sébastien Bazin: I'll start with the, Jaafar, on the second one, on onefinestay because that's -- it's a difficult answer to a simple question. There is an increased demand for private homes, private apartments. People feel safer, and it's being demonstrated with the pace and the growth of Airbnb going forward. So I have no doubt that onefinestay is the purest and the best brand when it comes to that service. The caveat I have has a lot to do with the cost of operating those private residences when it comes to capital cities. It is cumbersome, and I told you so, the acquisition cost of the client when you coupled it with the welcomers, the staging, the restaging, that cost is very close to the rental income you get from the owners. So the owner is satisfied because he has a very nice guest and Accor is a curator and the caretaker. The guest is very happy about his experience because he's going to somebody else's home with Accor's benefit. I'm not a happy guy because I don't make enough wealth out of the system. And I really need to -- it's a different metric when it comes to secondary homes, resort places because you have much less personal belonging. So far less cumbersome when it comes to staging, restaging. So it's -- I need to come up with a fine methodology and recipe on further developing onefinestay, which I want to do, but probably it was a different business model. And I need to crack it. And I have to tell you, over the last 9 months, on the top 10 priorities, that was not part of the top 10. But I have that obligation because I love the brand and the service. On the EBITDA bridge, Jean-Jacques?
Jean-Jacques Morin: Okay. I think Jaafar, maybe one way to look at it is deferring. Whatever were the brick that we had identified when we did that session with all of you on the Capital Market Day are in fact valid bricks. And in turn, the strategic impact on each and every of those brick is unchanged. You had one, which was the operating leverage, if you recall the presentation. And in fact, what we do we said here is nothing else than the operating leverage, but with a different scale, even in fact, deeper because of the crisis. So I would say that this is an improvement versus what we had been thinking in 2018 on how we can grow and create value in that business. On the other hand, some of those bricks are a little bit on the back burner. I mean a very good example of it is Mantra. You can't sell Mantra today because of all what's happening. And -- but the intent is unchanged, i.e., we want to move that asset-light road map and make that balance sheet being simplified and that business model being much more hotel service focused. And so we'll go and do it when it makes sense. I mean we've been feeling the brunt of the decrease of RevPAR. We're going to ride a little bit the increase of RevPAR with Mantra to the point that it's a salable deal. And then after that, the 2 other points that you had mentioned, I mean, the loyalty, obviously, nothing changes. I mean the loyalty is something that we really have to go and pursue. Sebastien gave you some numbers on the increase of loyal customer, the €75 million that you referred to is just deferred in time. But the intent of us moving from 30% of a loyalty base of customer to 50-plus is exactly the same. So the timing will be different for sure, but the blocks are the same. Some of them will be deeper and some of them will be changed because of what's going on in the world.
Sébastien Bazin: I agree with JJ. Gentlemen, madam, we're going to go for a quick coffee. Thank you so much for taking the time and [indiscernible] with us. It was essential for us to hear what you had to say, and we're going to be battling for a better year in 2021 for sure. And yes, make sure we can surprise positively our customers, our owners, our investors and all the employees of Accor. We'll see you probably soon enough. Ciao. Bye-bye.
Operator: Thank you for joining today's call. You may now disconnect your lines.